Operator: Good morning. My name is Keary and I will be your conference operator today. At this time, I would like to welcome everyone to the BlueLinx's second quarter earnings release conference call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks there will be a question-and-answer period. (Operator instructions). As a reminder, ladies and gentlemen, this conference is being recorded today Thursday, August 8, [ph] 2009. Thank you. I would now like to introduce Mr. Russ Zukowski with Investor Relations. Mr. Zukowski, you may begin your conference.
Russ Zukowski: Thank you, operator, and welcome everyone to the BlueLinx's second quarter 2009 conference call. With us this morning are George Judd, Chief Executive Officer; and Doug Goforth, Chief Financial Officer. Our press release was issued earlier this morning. For those of you who do not have a copy, it is available on the Investor Relations section of the company's website www.bluelinxco.com. Before starting the call, I need to refer you to our Safe Harbor Statement. I would like to remind everyone that on today's call, management may make forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including all statements concerning future or unexpected events or results. Actual results could differ materially from those projected in the company's forward-looking statements due to known and unknown risks and uncertainties. A discussion of factors that may affect future results is provided in the company's filings with the Securities and Exchange Commission. BlueLinx undertakes no obligation to publicly update or revise any forward-looking statements contained in these presentations based on new information or otherwise except as required by law. With that requirement completed, I would like to remind our listeners that we have posted slides on our website. We will be referring to these slides during this call and we encourage you to view them during our remarks. Additionally, the slide package contains an appendix of supplementary tables available for your review. Now, let me turn the call over to our Chief Financial Officer, Doug Goforth.
Douglas Goforth: Good morning everyone and thank you for joining us today. For the second quarter of 2009, we reported net income of $628,000 and earnings of $0.02 per share for the quarter. Our reported results includes certain special items which I will discuss in a moment but first I wanted to provide some commentary on the quarter. Our results for the quarter reflects the continued weak demand for building products as housing starts decline by 46% from the prior year period. Gross margin was 11.4% for the quarter down from last year’s 12.9% which had benefitted by approximately 130 basis points as a result of the significant increase in metal product prices. A significant percentage of our decline in revenue is also directly related to the weak market in metal products and reduced metal prices. BlueLinx revenue for metal products is down $150 million and the gross profit generated from metal products is down over $20 million when compared to the yearago quarter. BlueLinx managed our receivables very well during the quarter with tight credit policies limiting our bad debt expense. However they also impacted our revenues as we limited sales when we viewed the risk to be too great. During the quarter we generated approximately $8 million in cash from operations and had approximately $184 million in excess availability at the end of the quarter. We reduced our net debt by $14 million from the end of the prior quarter and ended the second quarter with the cash balance of $53 million. At quarter end, our net debt was $299 million. Our reported results included the following aftertax items. Gain on the early cancellation of our Master Supply Agreement with Georgia-Pacific of $10.6 million or $0.34 per diluted share. On April 27, 2009 BlueLinx reached an agreement with Georgia-Pacific to cancel our Master Supply Agreement. As previously disclosed under the terms of this agreement Georgia-Pacific has agreed to pay BlueLinx $18.8 million in cash in four quarterly installments of $4.7 million beginning in May 2009. While early cancellation of this agreement allows BlueLinx the opportunity to pursue strategic relationships with other suppliers, we also continue to distribute a wide variety of Georgia-Pacific products. Gain on sale of certain surplus properties of $2.6 million or $0.08 per diluted share. The company sold certain surplus properties during the quarter. These properties were comprised of the facility (inaudible) operations in early 2008 in surplus land. Facility consolidation and severance charges of approximately $650,000 or $0.02 per diluted share. During the quarter we consolidated certain facilities resulting in consolidation of severance charges of $650,000. A noncash charge related to our ineffective interest swap of approximately $1.1 million or $0.03 per diluted share. On May 1, 2009 the company reduced its borrowings under its revolving credit facility by $15 million which resulted in the second quarter noncash interest charge of approximately $1.1 million related to our ineffective interest rate swap. The company used cash on hand to pay down this portion of its revolving credit debt. Turning to slide five. Overall sales for the second quarter ended July 4th, totaled $423.5 million, down 49% or $411 million from the second quarter 2008. Specialty sales declined 38% from the same period last year, with the majority of the decline coming from lower unit volumes. Structural product sales declined 59% as a result of the 50% reduction in unit volumes and a decline in average prices for these products. Specialty products comprised 58% of total sales, up from 48% in the second quarter of 2008. BlueLinx generated approximately $48.3 million in gross profit for the quarter. Gross margin was 11.4%, an increase over the first quarter of this year but a decrease from the 12.9% generated in the prior comparable quarter which administered from a run up in structural metal prices during the second quarter of 2008. During the quarter we remained focused on achieving gross margins above historical levels through our ongoing management as product pricing and sales disciplined. Operating expenses for the quarter, $37.7 million or a decrease of $48.6 million or 56% from a year ago. The decline in operating expenses reflects the gain recorded on the early cancelation of the Master Supply Agreement, decreases in payroll and payroll related costs of $16.8 million related to the lower headcount and approximately $4 million in lower fuel costs. The company reported an operating profit for the second quarter of $10.6 million, compared to an operating profit of $21 million in the prior year period, reflecting the decline in gross profit partially offset by the $48 million decline in operating expense. Our second quarter net income of $628,000 or $2 per diluted share compares with net income of $6.6 million or $0.20 per diluted share in the second quarter of 2008. Our reported net income for the period includes the items described above and is after reported interest expense of $9.6 million which includes the $1.1 million noncash charge associated with our interest rate swap compared to interest expense of $9.4 million in the prior year period and is after a tax provision of $31,000 compared with the provision for taxes of $4.9 million in the prior year period. Looking at the yeartodate results from slide 6, sales for the six months ended July 4th, totaled $830.6 million down 47% from the same period last year. Gross margin in the 11.1% declined from the 11.9% in the year ago period and yeartodate reported operating expenses declined 42% from the same period last year generating an operating loss of $7.9 million largely driven by housing related drop in demands. The yeartodate reported net loss of $60 million or $1.93 a share compares with a net loss of $4 million or $0.13 a year ago. This yeartodate loss is driven predominantly by the weak operating environment in which housing starts declined 48% from the year ago period as well as the deferred tax asset valuation allowance recorded in the first quarter of 2009 and other restructuring costs offset in part by the gain on the early cancelation of the Master Supply Agreement with G-P. Turning to cash flow on slide seven. During the quarter, we generated approximately $8.4 million in cash from operating activities which compares the net cash generated by operations of $52.1million in the second quarter of 2008. As we have discussed on prior earnings calls, we will continue to aggressively manage our working capital items on an ongoing basis but do not expect the levels of cash generation from working capital to be at the levels obtained during 2008. Cash used in financing activities was $21.5 million for the quarter, driven by a $15 million decrease in outstanding borrowings under our revolving credit facility, a $3.2 million mortgage principal payment and approximately $1.8 million reduction in bank overdrafts. For the first half of 2009, we used approximately $13 million of cash for operating activities compared to generating approximately $31 million in cash during the year ago period. Cash used in financing activities during the first half of 2009 was $91 million driven by $75 million decrease in outstanding borrowings under our revolving debt facility and a $10 million reduction in bank overdrafts. This compares to $16 million used in financing activities driven by a $17 million decrease in borrowings for the similar year ago period. The resulting cash balance at July 4th was $53 million compared with $30 million a year ago. While we do not provide guidance we would like to remind you that once sales begin to increase. We will use cash as our receivable balance increase and we match our inventory levels with the increased demand. Moving to slide eight. We have had $184 million of excess availability under our revolving credit facility as of quarter end. The combined debt balance of our mortgage and revolving credit agreement was $367 million, a decrease of $78 million from July 3rd and down $94 million from a year ago. Net debt at the end of the second quarter was $299 million compared to $285 million at January 3rd and was down $132 million from a year ago. Turning to slide nine. Cash cycle days for the second quarter totaled 53. That compares with 50 days for the first quarter of 2009 and 52 days for the same period a year ago. We continue to focus on tightly managing our accounts receivable portfolio and our credit approvals to ensure we are selling to customers who pay us in a timely manner. Inventory days improved from the year ago same quarter as we continue to actively manage inventory levels across the company, while increasing the mix of specialty products versus structural products in inventory over the prior year period. In summary, we generated operating cash during the quarter. We ended the quarter with $53 million in cash and cash equivalents. We remain focused on driving gross margin higher than historical average and our liquidity includes $184 million of excess availability at July 4th, 2009. Now, let me turn the call over to George.
George Judd: Thanks Doug. Good morning. We are all aware that the operating environment has been difficult over the past three years. The nation has never seen this level of housing activity nor have we seen such a long period of depressed housing demand. The market is still very difficult and we remain focused on managing our costs, our working capital and overall operating efficiency while delivering superior service to our customers and our suppliers. However I am encouraged by signs indicating our industry may be stabilizing. The second quarter did begin to show signs of demand for building products may have hit its bottom and many markets across the country inquiry [ph] levels for the products and services, BlueLinx provides have increased. Our recent housing starts are still at severely depressed levels, I am optimistic as we are seeing increases all across the country. For the balance of the year I expect to see continued improvement in the industry. We are adjusting our strategy slightly to focus more on growing our share as the business returns. We remain focused on building longterm business with customers and suppliers and making it more efficient and profitable for our customers and vendors to conduct business with us. In that regard, we continue to invest in and utilize technology to improve our services. Our redesigned website allows customers to obtain product literature, view product specials and view available products in their specific geographical areas. The new website is already creating new sales opportunities for BlueLinx. Using our virtual show platform we hosted a knowledge forum called Riding the Green to provide further education to our customers on green building products produced by our vendors. During this forum we provided over 2,500 downloads of product information. Additionally we used this forum to train over 300 of our sales and product management employees on our sustainability program. BlueLinx is focused on growing our share of the fast growing green building wave. We believe our efforts to work closely with our customers and vendors in these difficult market conditions afford us many opportunities. We have grown our customer relationships to include a much broader customer list as well as extended our relationships with many suppliers to position our company as a distributor choice. We are excited about our new products that we have taken to market including the recently announced Lite Steel Beam from LiteSteel Technologies of America and United Stone Veneer products produced by Ply Gem Industries. Also these products fill voids in our product offerings. I feel we are in the (inaudible) this housing correction and although a quick and strong rebound is not likely I do feel the worst is behind us. Overall I am pleased with our performance in this very tough market. We have managed cost well, raised our margin above historical levels and managed our cash. We will now begin to focus more on growth and expanding our share as the industry begins its recovery. I believe BlueLinx is well positioned to take advantage of this recovery. We have managed our company well through the recession. We are well positioned to capitalize on the rebound and will continue to diligently manage our company during the recovery. With that, I would like to open the call for questions. Operator?
Operator: (Operator instructions) Your first question comes from the line of Rick Skidmore of Goldman Sachs.
Rick Skidmore Goldman Sachs: Hi good morning. Just to clean up a couple of questions with regards to the charges. The gain on the sale of the properties is that in the cost of its sold line and then the severance charge, is that also in the cost of goods sold line or is that in the SG&A line?
Douglas Goforth: Rick those are in the SG&A line.
Rick Skidmore Goldman Sachs: Both of them?
Douglas Goforth: Yes.
Rick Skidmore Goldman Sachs: Okay and then maybe just shifting as we look at your business George maybe you could talk about where you are seeing the stabilization out there and I think you made the comment that maybe you are seeing it across the country. Can you just talk a little bit more about what you are seeing out there from a volume standpoint?
George Judd: Sure Rick. The early indicators for BlueLinx are plans. We started to get plans for housing blue prints and take offs before the permits are pulled and even before we ever start to see any volumes. That activity has increased substantially. So, we are optimistic about that. Most of those plans honestly are in more a entry level housing, lower price point housing and most of that activity is away from the large urban markets.
Rick Skidmore Goldman Sachs: Okay. And then just, maybe just to talk a little bit about the specialty category. Where are you seeing any pick up in the specialty area, maybe can you talk about within specialty what categories you are seeing, the pickup and which ones are the best margins for you?
George Judd: Well, I will talk about the overall pickup, specialty as a whole has a higher margin than our structural business. But our specialty business is the fastest growing product codes are roofing. Installation products, roofing as a whole has had a nice growth in the last six to nine months and also had some price increases. Installation, a little stimulus impact on some of those product areas which we are participating in and we are focusing on growing that. Also some of the interior decorative products maybe paneling, moldings things like that where remodeling activity has started to show some stands alike. All of those businesses are important to us and all of those tend to be higher margins, than maybe even our specialty panel business like parker boards and things like that.
Rick Skidmore Goldman Sachs: Okay. And then just maybe just two last ones. As you see the recovery starting or certainly stabilizing and maybe volumes start picking up, what do you see the mix of the business looking like? You look at a year, based on whatever your assumption of housing starts might be, do you get back to more 50, 50 structural specialty or how does that look like and I would imagine you are starting to see some improvement in metal pricing?
George Judd: Yes, well first the goal for BlueLinx is still 60, 40 specialty versus structural. However I do forecast a slight downtick from ours 58% specialty mix as structural business rebounds and rebounds before the specialty business. We have to frame the houses before we can add a wide variety of specialty products. So we do forecast that. So I think probably 55, 45 but not back to the 50, 50 mix that we had. Part B, that question was again?
Rick Skidmore Goldman Sachs: Just what you are seeing on metal?
George Judd: Metal, steel prices, we just had a little price increase on rebar and concrete accessories, but overall last year was a very, very high run up and a very, very sharp decline and we are not forecasting any sharp rebounds like, like we saw last year.
Rick Skidmore Goldman Sachs: Okay and then just lastly. When do you sort of start to anticipate that you might turn positive in your revenue comps?
George Judd: Our revenue comps, quarteroverquarter?
Rick Skidmore Goldman Sachs: Yearoveryear?
George Judd: Well, we are not providing guidance but that is our focus right now. We are out there, we have managed all of our cost metrics and as I said I think we have done a nice job there. Now we have to make sure that we go out there and take the available businesses and begin to grow our share. That is what we are focused on.
Rick Skidmore Goldman Sachs: Okay. Thank you.
Operator: Your next question comes from the line of Steve Chercover of D.A. Davidson.
Steve Chercover D.A. Davidson:
George Judd: No, it is not. As we have added products and Doug mentioned in his prepared statements that we have tightly managed our credit policies and quite frankly with some groups of customers that cost us some volumes as there has been stabilization and as we have been able to better assess some of our customer situations we have gone back in there and grown some business. We intend to do that. Also it was then, I think I had talked last quarter of over 500 customer locations of ours that have shrunk. All that business is reshuffling. We have to make sure that we are well represented in those markets where the business is being reshuffled and we are focused on that. We have invested in 2006 and 2007 in a sales performance program. We talked about that extensively during that time period. So, we are able to adjust our sales focus to where the demand is and those customers that are growing in specific markets and we are making sure we manage that. We are spending time for the customers that are growing in their specific geographies.
Steve Chercover D.A. Davidson:
George Judd: Well, I would not want to say that panel prices in volumes are correlated. I think prices are up due to do curtailed capacity not due to demand. Demand is slightly better than we saw during parts of Q2 but there is nothing to ring the bell about certainly. It is still a very, very difficult market but we are seeing early indicators and many markets and as I just commented, most of those markets are a little more royal or a little more emerging than the former big fun dealt markets or the Las Vegas, Phoenix, the big housing markets there. They are New England, in the ex parts of the Mid West and locations a little further from the large domestic cities.
Steve Chercover D.A. Davidson: And now that the G-P supply agreement has been terminated, how are your relationships with the other suppliers evolving?
George Judd: Oh, first, our relationship with G-P is still very good. We continue to buy a large percentage of our structural products and many specialty products including our inter [ph] level program from Georgia-Pacific and our relationship is still very good. What the cancelation of the program has done is it allowed us to negotiate product specific relationships with both Georgia-Pacific and other producers and that has gone very well. We are growing our business with many produces that we really could not participate heavily with under the old G-P contract and I think it has been good for them as well as they have been able to tap some markets that maybe they were not focused on under the old G-P, BlueLinx’s relationship.
Steve Chercover D.A. Davidson: And is that broader product array, give you better penetration or opportunities with the big boxes?
George Judd: It does give us some opportunities with big boxes. It also gives us opportunities in some geographies. Five is such a larger percentage of structural and wood product delivered prices. So, well, maybe our Georgia-Pacific mill was not the closest mill to the market, we might had a lower share. Now we are able to participate with mills that are maybe closer to that market and grow that share. So, we have seen some rebalancing of our efforts due to the supply that is available to us.
Steve Chercover D.A. Davidson: Very good. Well, thanks very much and good luck going forward.
Operator: (Operator instructions). Your next question comes from the line of Anthony David [ph] of Morning Star.
Anthony David Morning Star: Hi, good morning everyone. Thanks for taking my question.
George Judd: Good morning.
Douglas Goforth: Good morning Anthony.
Anthony David Morning Star: My question was kind of on the nonresidential side. You have already given a pretty good explanation of what you are seeing on the residential front, I am just curious to see what your outlook is like on the nonresidential side?
Douglas Goforth: I will be honest with you. The expected upticks and some of the stimulus spending in the public sector, schools and further up has been slowly developed and it has not replaced the decline that I think we all forecast. Hotels, and swift shopping and office building construction which is, which is really very, very depressed right now. So, we expect that to continue and although we are optimistic that sometime eventually that some of that stimulus dollars will drive well construction and schools and hospitals and things like that.
Anthony David Morning Star: Okay, great. Thank you and just one quick housekeeping question on your mix during the quarter. The residential versus nonresidential chunk sales?
Douglas Goforth: We do not really break that out Anthony.
Anthony David Morning Star: Okay. Great. Thank you very much.
Douglas Goforth: Thank you.
Operator: (Operator instructions). There are no further questions at this time. Mr. Zukowski do you have any closing remarks?
George Judd: Thank you all for joining our call and we look forward to talking to you all next quarter. Thank you.
Operator: